Operator: Good morning and thank you for standing by. Welcome to Abbott’s First Quarter 2015 Earnings Conference Call. All participants will be able to listen only until the question and answer portion of this call. [Operator Instructions] This call is being recorded by Abbott. With the exception of any participant’s questions asked during the question-and-answer session, the entire call, including the question-and-answer session, is material copyrighted by Abbott. It cannot be recorded or rebroadcast without Abbott’s expressed written permission. I would now like to introduce Mr. Brian Yoor, Vice President, Investor Relations.
Brian Yoor: Okay, good morning and thank you for joining us. With me today are Miles White, Chairman of the Board and Chief Executive Officer; and Tom Freyman, Executive Vice President, Finance and Chief Financial Officer. Miles will provide opening remarks and Tom and I will discuss our performance in more detail. Following our comments, Miles, Tom and I will take your questions. Before we get started, some statements made today maybe forward-looking for purposes of the Private Securities Litigation Reform Act of 1995, including the expected financial results for 2015. Abbott cautions that these forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those indicated in the forward-looking statements. Economic, competitive, governmental, technological and other factors that may affect Abbott’s operations are discussed in Item 1(a), Risk Factors to our annual report on Securities and Exchange Commission Form 10-K for the year ended December 31, 2014. Abbott undertakes no obligation to release publicly any revisions to forward-looking statements as a result of subsequent events or developments except as required by law. Please note that first quarter and guidance provided today on the call for sales, earnings per share and line items of the P&L will be for continuing operations only. In today's conference call as in the past, non-GAAP financial measures will be used to help investors understand Abbott’s ongoing business performance. These non-GAAP financial measures are reconciled with the comparable GAAP financial measures in our earnings news release and regulatory filings from today, which will be available on our website at abbott.com. Our commentary on sales growth refers to operational sales growth, which excludes the impact of foreign exchange unless otherwise noted. With that, I will now turn the call over to Miles.
Miles White: Okay, thanks Brian, good morning everybody. I will be brief this morning and leave some time for questions. Our first-quarter performance exceeded expectations on both the top and bottom lines and we reported double-digit operational sales growth, exceeded both our gross and operating margin targets in the quarter, closed on the sale of our EPD developed markets business to Mylan and launched a number of new products across our portfolio. I will summarize our first quarter results before turning the call over to Tom and Brian for some further detail. Operational sales increased 10% in the quarter with particularly strong performance in our branded generics, international, nutrition and global diagnostics businesses as well as double-digit growth in emerging markets and that did include the additions of CFR and Veropharm. While currency was a factor, including a 7% negative impact on the top line, we continue to manage through its effect on the bottom line. Our first-quarter adjusted earnings per share of $0.47 exceeds our previous guidance range and reflects growth of 38%, but again as I said that includes the addition of CFR and Veropharm in comparisons. Our full year 2015 adjusted earnings per share guidance of $2.10 to $2.20 remains unchanged and reflects double-digit underlying growth, excluding the impact of currency. So in the quarter starting with nutrition, sales increased more than 6% with continued double-digit growth outside of the United States. The new pediatric products that we have launched into China and other fast growing geographies are continuing to perform well. Products like Similac QINTI and Eleva, and we have got strong performance in the online segment. These new products drive share expansion and contribute to our growth in the market. The international adult nutrition business has consistently delivered high single digit to double-digit sales growth. Our adult nutritional Ensure is roughly a $2 billion brand globally today, and we launched it into the retail segment in China earlier this year. In March, we also opened a nutrition pilot plant in Singapore. This facility in addition to the others there allows us to customize more of our products to meet consumer preferences across Asia. In medical devices, diabetes care returned to growth this quarter as we expected. We have had a very positive early response to the launch of our new FreeStyle Libre device. As I mentioned last quarter we are already expanding capacity to meet this demand. Libre is a highly differentiated technology that helps people self-manage their diabetes without the need for routine fingersticks. We are also building a portfolio of products based on our sensor technology and FreeStyle Libre Pro is our first professional use device that was launched in India earlier this month. Our vascular business also performed in line with our expectations. Operational sales growth in the quarter was driven by high single digit performance of our endovascular products, as well as double-digit growth of our structural heart product, MitraClip. The market opportunity for mitral regurgitation is significant, but still in its early stages and MitraClip is the only product on the market to date that can treat this disease in a minimally invasive way. In medical optics, sales were impacted by market dynamics in our cataract and LASIK businesses. We recently launched two new cataract lenses and saw a pickup in our cataract lens growth as the quarter progressed. In diagnostics, we delivered 6% growth in the quarter. The continued success of our commercial strategies with core laboratory customers are driving share gains in the US and emerging markets. We continue to invest in the development of next-generation system platforms across all three of our diagnostics businesses. In point-of-care diagnostics, sales increased double digits. In the US we have had success with large healthcare networks, standardizing our point-of-care testing with our i-STAT system. Outside the US, our expansion efforts continue in both developed and emerging geographies. In established pharmaceuticals we’re executing better commercially. That is something that I have given a fair amount of attention to on past calls with you. We are expanding our product portfolios in our therapeutic area of focus – areas of focus and driving more awareness of our Abbott brand with consumers, physicians and pharmacists. Excluding the benefit from our recent acquisitions of CFR Pharmaceuticals and Veropharm, sales in our key emerging markets increased in low double-digit with above market growth in India, Brazil, China, Russia, and Colombia. With the sale of the developed markets business to Mylan completed in February, EPD is now focused solely on emerging markets. We received 110 million shares of Mylan stock for the developed markets business, and recently sold roughly a third of our position. The net proceeds from the sale of Mylan shares and our strong balance sheet provide us with additional flexibility to invest in strategic growth opportunities to continue to shape Abbott for long-term growth. So in summary we reported first-quarter results ahead of our expectations. We are building on the momentum we had exiting 2014, and we expect high single-digit full year operational sales growth and continued progress on margin expansion, and we are well on track to achieve our financial objectives in 2015. I will now turn the call over to Tom and Brian to discuss our first quarter results in more detail. Tom?
Tom Freyman: Thanks Miles. AsMiles indicated, today we reported first-quarter adjusted earnings per share from continuing operations of $0.47, above our previous guidance range and reflecting growth of 38%. Sales for the quarter increased 10% on an operational basis, excluding an unfavorable impact of 7% from foreign exchange. Reported sales increased to 3% in the quarter. Operational sales growth was driven by strong performance in nutritional, diagnostics, and established pharmaceuticals, which included the impact of 2014 acquisitions. Sales in emerging markets increased strong double digits in the quarter. First-quarter adjusted gross margin ratio was 58.1% of sales, somewhat above our forecast and up nearly 500 basis points over the first quarter of 2014. The year-over-year comparison was driven by gross margin improvement initiatives across our businesses and in part the comparison relative to an unusually low ratio experienced in the first quarter 2014. In the quarter, adjusted R&D investments was around 6.5% of sales and adjusted SG&A expenses were around 34.5% of sales. The over delivery in the first quarter EPS compared to our guidance was in part the result of the dynamics of exchange on our results, including the timing effects of hedging activity on the exchange gain loss line of the P&L. We expect the first quarter favorability on this line of the P&L to partially reverse in the second quarter, with remaining net gains for the year to be offset on the operating income line of the P&L over the last three quarters. As we discussed last quarter, while the weaker euro impacts our top line, movements in the euro have a minimal impact on our bottom line due to our euro denominated cost base. Therefore the further weakening of the Euro that we saw in the first quarter of the year does not impact our 2015 EPS forecast. Turning to our outlook for the full year 2015, our adjusted earnings per share guidance range of $2.10 to $2.20 from continuing operations remains unchanged. Regarding our full year 2015 outlook for the P&L, we continue to forecast operational sales growth in the high single digits. Based on current exchange rates we now expect exchange to have a negative impact of around 7% on our full year reported sales, up over our previous projected in January of around 6%. This should result in reported sales growth in the low single digits for the full year 2015. Brian will provide more details on the 2015 outlook by business in a few minutes. We now forecast an adjusted gross margin ratio of around 57.5% of sales for the full year driven by gross margin improvement initiatives across our businesses. We forecast adjusted R&D investment of around 6.5% of sales and now forecast an adjusted SG&A expense of around 31.5% of sales. Overall we continue to expect to expand our full year adjusted operating margin by over 100 basis points in 2015. We now forecast net interest expense of around $120 million, reflecting changes in the interest rate assumptions on both our debt and some of our investment. We forecast an exchange gain of approximately $35 million on the exchange gain loss line in the P&L for the full year, reflecting some reversal of the favorability we saw on this line in the first quarter as mentioned previously, and we forecast around $5 million of non-operating expense for the full year 2015. Turning to the outlook for the second quarter, we forecast ongoing EPS of $0.49 to $0.51, reflecting double-digit underlying growth, largely offset by the impact of segment foreign exchange headwind on operating results as discussed on the January call, as well as the partial reversal of favorability in the exchange gain loss line of the P&L from the first quarter as previously mentioned. We forecast operational sales growth in the low double digits in the second quarter. At current exchange rates, we would expect the negative impact from exchange of somewhat above 8%, resulting in reported sales in the low single digits. We forecast an adjusted gross margin ratio of around 57.5% of sales, adjusted R&D investment of approximately 6.5% of sales and adjusted SG&A expense of somewhat above 32% of sales in the second quarter. We forecast net interest expense of around $35 million and approximately $15 million in expense on the exchange gain loss line of the P&L. Finally we project specified items of $0.23 in the second quarter, reflecting the same items as we identified for the full year in our earnings release. So in summary, our full year ongoing EPS guidance remains unchanged. As we start the year, we are well positioned to deliver another year of strong EPS growth in 2015 despite a challenging currency environment. And with that I will turn it over to Brian to review the business operating highlights and outlook. Brian?
Brian Yoor: Thanks Tom. This morning I will review our first quarter 2015 performance and second-quarter sales outlook by business. As I mentioned earlier, my comments will focus on operational sales growth. I will start with our nutrition business, where global sales increased more than 6% in the first quarter. In our international pediatric nutrition business, sales increased to 11.7% driven by double-digit growth in China and Latin America. We continued to capture market share with new infant formula products we launched into the fast-growing market segments and geographies over the past year. This includes Similac QINTI and Eleva, which we launched into the premium infant formula market segment in China in 2014. International adult nutrition sales increased nearly 11% in the quarter driven by strong double-digit growth in Latin America. This is the sixth consecutive quarter of double-digit sales growth in our international adult nutrition business. We continued to expand the adult nutrition category internationally, and recently launched our Ensure brand in China into the retail market segment, which represents a significant growth opportunity for Abbott. We also continued to expand our local presence in key markets. As Miles mentioned, in addition to the three manufacturing plants we opened last year in China, India and the US, we announced in March the opening of a new nutrition pilot plant in Singapore. The state of the art facility will serve as a second global R&D hub. In the US, pediatric nutrition sales were up 4.5% driven by market share gains in the non-WIC segment of the infant formula market, and double-digit Pedialyte growth as a result of the strong flu season. Adults nutrition sales in the US were impacted by competitive and market dynamics, including softness in the institutional segment. We expect a modest improvement in the US adult nutrition sales growth over the course of the year as we launch new products. For the second quarter we are forecasting mid to high single digit growth on an operational basis in our global nutritional business, driven by a continued double-digit operational sales growth in international nutrition. In our diagnostics business, sales increased 6% in the first quarter with double-digit sales growth in emerging markets. Core laboratory diagnostic sales increased 4.7% in the quarter. This above market growth was driven by strong growth in our core laboratory segment as this business continues to increase its win rate and gain share with its customer focused solutions. The US growth was impacted by a comparison to a strong first quarter of last year when sales increased double digits driven by higher blood screening sales. Last week we announced a partnership agreement with the number one coagulation company in Japan to provide coagulation testing solutions to core laboratories worldwide. This partnership broadens our diagnostics offering to meet our customers’ needs and to deliver high quality results in an efficient workflow as part of Abbott’s total solutions. Coagulation testing is approximately a $2 billion market segment of the in vitro diagnostics market that is growing in the mid-single digits. In molecular diagnostics, sales increased 7.4% in the quarter driven by growth of our core business segment, infectious disease testing. Growth was also favorably impacted this quarter by the timing of tenders in emerging markets. In Europe, we are early into the launch of our IRIDICA, infectious disease testing platform, which helps identify serious infections such as sepsis. For the second quarter we expect relatively flat growth in our molecular diagnostics business as we project growth of the infectious disease business to be offset by the declines in our non-core oncology and genetics businesses. In point of care diagnostics worldwide sales increased 15.5% with double-digit growth in both the US and internationally as this business continues to build and expand its presence in targeted developed and emerging markets. Strong growth in the quarter was driven by continued performance in the large hospital segment, as well as continued adoption in the physician office laboratory and ambulatory setting, where small portable solutions such as Abbott i-STAT help improve efficiencies. For the second quarter, we expect our global diagnostics business to generate mid-single digit operational sales growth. In medical devices, sales in our vascular business increased 2% in the quarter. Sales of our MitraClip product for the treatment of mitral regurgitation increased strong double digits in the quarter, both in the US and internationally. Last month we presented data that reinforces MitraClip’s ability to reduce mitral regurgitation and improve a person’s overall health and that supports further adoption of this device. Our endovascular business continues to have momentum with sales growing high single digits in the quarter driven by strong growth in our base business, including vessel closure, as well as our peripheral stent, Supera. And in our drug eluting portfolio in the US we have gained sequential market share following the XIENCE Alpine launch. XIENCE alpine is the only drug eluting stent with an indication to treat chronic total occlusions. We have also recently announced the launch of XIENCE Alpine in Japan. For the second quarter, we expect sales in our global vascular business to increase low single digits on an operational basis. In diabetes care, global sales in the first quarter increased nearly 3% as this business returned to growth after lapping the impact of US reimbursement changes. Outside of the US, strong consumer and physician adoption of our revolutionary new glucose sensing technology, FreeStyle Libre, has exceeded our initial expectations driven by a successful direct to consumer campaign. We continued to expand FreeStyle Libre to new geographies. Earlier this month, we announced the launch in India of FreeStyle Libre Pro for professional use. Libre Pro uses the same sensor based technology as our consumer focused FreeStyle Libre product and helps doctors obtain the comprehensive data they need to make treatment decisions. India is a logical target market for Libre Pro because there was a large diabetes population, but self monitoring of blood glucose is not a common practice. In the US we have and will continue to segment our products and our commercial strategies to drive profitable growth. And last week we announced the launch of FreeStyle Precision Neo, a new compact, easy to use, blood glucose meter that allows people with diabetes to easily access a well-known multinational brand in the over-the-counter market segment. For the second quarter, we are forecasting low to mid-single digit operational sales growth in our diabetes care business. In medical optics, sales were down 3.4% in the quarter. While this performance was below our expectations, we expect to improve sales growth in our medical optics business over the rest of the year as we launch new products. Earlier this year in the US we launched TECNIS Multifocal Low Add, which provides more range of vision options to patients and surgeons. And just last week-end at the American Society of Cataract and Refractive Surgery Meeting we launched our TECNIS Preloaded in the US, which improves the ease of use for the cataract surgeon and enhances predictability of the procedure. For the second quarter, we expect our global medical optics business to grow mid single digits on an operational basis. And lastly, our established pharmaceuticals business or EPD, where sales increased strong double digits in the quarter, including the impact from recent acquisitions of CFR pharmaceuticals and Veropharm. In February, we completed the sale of our developed markets branded generics pharmaceutical business to Mylan. With this business now focused entirely on emerging markets we saw low double-digit underlying sales growth in our key emerging markets, which include India, Russia, China, Brazil and Colombia along with several additional markets. Performance across the Latin American region was strong during the quarter as we are starting to see the benefits of a more complete product portfolio and sales infrastructure due to the integration of CFR. Additionally Influvac sales were strong and benefited from the production capacity expansion we completed last year. For the second quarter, we expect similar strong double-digit growth in EPD on an operational basis, including the impact of the acquisitions I mentioned. In summary, our first-quarter earnings per share and operational sales growth exceeded expectations. We launched several new key products across our portfolio of businesses and our outlook for the year remains unchanged as we are well positioned to deliver another year of strong growth. We will now open the call for questions. Operator?
Operator: [Operator Instructions] Our first question today is from Kristen Stewart from Deutsche Bank.
Kristen Stewart: Hi, congratulations on a good quarter and thanks for taking the question. I was wondering if you could just like comment from a big picture perspective, you have now really have done a great job of re-shifting the portfolio with disposition of the developed established pharmaceutical business and bringing in CFR and Veropharm, just how are you thinking about just kind of shaping Abbott going forward. It doesn’t necessarily seem that you need to be in a rush to certainly deploy any of the cash, and you have plenty of flexibility, but just how are you thinking about just kind of more from big picture strategic perspective kind of what is next?
Miles White: Thanks for the question Kristen. I would say we want to grow and we want to get bigger. And I think there is, obviously two dimensions there. One is organic and organic can be expansion of products or expansion of geography and then there is I think our footprint could benefit from being a lot bigger in a number of our businesses or even as a corporation in the diverse mix of businesses we have. So that would imply some M&A activity et cetera, and nobody would be surprised to hear that out of me, I don’t think. So I think both dimensions are important to us and we are putting a fair amount of attention on both. The notion is I think we have got the right core. It is a very solid core of businesses that are performing well or they are in markets that we know will continue to be healthy and drive good growth and have great opportunity for us. I think we have got the core of the company well positioned today for the attractiveness of both product markets and geographic markets that we think there is a lot of opportunity for investors for. But beyond that I think we can do more and I think we can do a lot more and particularly if we’re bigger in a number of these spaces. So my intention is to get bigger. I think strategically that is how I’m thinking about it. And to your comments about resources and timing and so forth as I have said in the past they don’t feel particularly capital constrained or resource constrained and yet I don’t feel like they have to rush out urgently either. I think we can afford to be thoughtful and prudent but at the same time that doesn’t mean sit on our hands. So I think the deal market or the M&A market out there – I would love to say we all go out there with a plan, we have the following priorities, we have the following targets et cetera. Those plans are always dead on arrival, the market tells you either who is willing to talk to you, who is willing to engage, what valuations maybe, what the circumstances in any given geography or industry may be, those things always tend to determine the timing of opportunity and I think what we have been good at is being ready even opportunity aligns, and when peoples’ willingness to engage aligns and so forth. And I can’t always predict the timing of that. But I can tell you if you are not ready when the things line up then you are not able to take advantage of it. So, we are obviously I think always tracking, always studying, and we have always got an idea of what our priorities would be. The market will tell us what order we get to address and to some degree, but you are right. We are sitting in a very, very good position I think right now in terms of our readiness, our ability to have resources et cetera, to invest, the condition of our underlying business. We have given a fair amount of attention to our cost structure, to our supply chain structure, to our back office structure, our G&A, all those sorts of things over the last couple of years really to ready ourselves for bigger business and greater expansion, particularly geographically, and I would say that has all fallen very nicely into place. You can see it in the results, you can see it in the gross margin, you can see it in the G&A line, you can see it in the efficiency of the business, you can see it in the growth rates of some of the businesses and so forth. I think I feel pretty good about the foundation and that is the kind of foundation you want to add to. You don’t want to add to a weak one with a lot of problems or a lot of things you are trying to fix and you want to add to a strong one. So I think we are in a really good position right now. We feel good about it.
Kristen Stewart: And you have been really reshaping Abbott to be more of a consumer focused business, is that how we should think about M&A priorities going forward in terms of things that could really leverage kind of the Abbott brand and stay within that structure?
Miles White: Well, I wouldn’t say – I wouldn’t say to an extreme degree. I think, the word I have used a lot in the past is balance. I think historically, particularly in developed markets a lot of our businesses were reliant on government reimbursement or single payer systems and so forth, and we wanted a different balance of that, where there was consumer choice, consumer preference, consumer pay et cetera. The very nature of the mix of our business is now is much more like that, not just because of the businesses, but because of geographies and the structures in those markets. So I would say we have and, for example, in our pharmaceutical business, branded generic pharmaceutical business overseas, those are very much consumer pay markets. The economic structure of those markets is a little different. They are more attractive to us. We have targeted those countries with that structure in particular as opportunity. So I would say to the degree that opportunity exists for us, yeah, it is very attractive. But I would not rule out, Europe, the US or traditional markets as opportunities for us for some of our businesses. I just want a different or a more balanced structure, so we are not over-reliant on heavy concentration in given geographies where there is an awful lot of decision control at a central point. And then a lot of European countries are like that. It is one of the reasons Europe hasn’t been as high a priority for us as emerging markets, but I wouldn’t run all the way to one side of the boat either.
Kristen Stewart: Perfect. And then just a quick follow up for Tom. Tom, would you be willing to provide just the organic growth in the quarter for Abbott overall and then just --?
Tom Freyman: And the top line is the mid single digits adjusted for the acquisitions.
Kristen Stewart: Perfect, okay, thank you.
Tom Freyman: Thank you.
Operator: Thank you. Our next question is from Mike Weinstein from JPMorgan.
Michael Weinstein: Thanks. Just to clean that up to Tom. Anything more precise than mid-single digits on the organic growth?
Tom Freyman: Right around 5 Mike.
Michael Weinstein: And then the - it was a [bead] [ph] on the quarter but then not raising the EPS guidance is that just the timing of FX impacting the P&L over the course of the year?
Tom Freyman: I’d say a lit bit of it is that certainly in that exchange gain loss line I talked about that should be considered to be a little extra in this quarter offset by some negatives over the last three quarters in the currency area. I’d say we’re although - it was a really good high quality quarter when we look at how the business has progressed both on the top line and particularly in the gross margin area and we’re just pleased with that progress at this early point of the year and I think it sets us up nicely to continue to build on that as we progress through 2015.
Miles White: Mike, I would add to that the analysts and investors who cover us have all paid a lot more attention in last couple of years to currency than have had to in years past and probably because multinationals have expanded so much in a lot more countries; I mean we all used to be so euro focused and yen focused and lot of companies still are, but because so much of the growth for many of us is Asia, Latin America, other emerging markets we pay a lot more attention to a lot more currencies and I think that’s made it harder to forecast and predict particularly the mix and the shifts and so forth although, when it all goes in one direction like it did the last couple of quarters that’s pretty easy. But for us, at least in terms of the currency piece I think all of us were caught off guard somewhat by the magnitude of the currency shift in the fourth quarter of last year, although maybe we shouldn’t have been, but we were. And in our case as I pointed out in the past we’re less vulnerable to the euro, very much less vulnerable to the euro than a lot of companies might be just because of the mix of our business and where we produce and offset the exchange, but then that means we got a bigger basket of currencies to look at, look at those currencies and I say okay, well the ruble improved on us in the first quarter, thank God, and quite substantially while the Brazilian real did not and went the other way. China is very stable, India is pretty stable for us right now. So, the big currencies that you would normally think would affect us or could affect us and knock on wood and I look at, I think okay this should all be pretty stable for the year barring events I can’t predict in the external world. With regard to guidance which you asked about and I’m circling back to, I just think it’s early in the year to do any change in the guidance, I’m kind of a Murphy’s Law believer that the minute we make any kind of confident move something is going to go wrong with currency or something, I don’t know. I just think it’s a little early in the first quarter; I’ve to say to echo Tom, the underlying performance of the company is real good and to the extent that this momentum continues and there is no change to earnings assumption - or to currency assumptions and so forth, you’re going to be pressuring us on this point again in the quarter here. And that’s all good, but I think I just like to see more cards played before we move in that direction. I look back over our last 7 or 8 years to see how many times we had adjusted guidance in the first quarter and I think we just gave it to you a couple of months ago so to change it two months later does that make sense. I think when we change guidance a couple of times in the first quarter in the last 8 years and I’m not even sure why I did it then, because I think in general I had to see half the year played before I’ve got a good feel for how things are going to lay out because generally the second half of the year is different than the first half of the year for all of us and it’s usually around the currency or some catastrophic event and world events and I would just like to see another quarter played and then if we’re cranking along like we seem to be then you’re going to be pressuring us and I’m going to be nodding and say you told me so you were right.
Michael Weinstein: Okay. So let me switch to strategy, so Miles depending on what plays out with Mylan I could see you guys in the year with maybe $12 billion and $13 billion of cash probably it’s for nickel that would be outside of the U.S. you would have still call it $5 billion of net debt potentially net cash, -- made that point. Does the cash position and the fact that really all of it being outside of the U.S. is that really drive you to an acquisition of U.S. assets or U.S. domiciled assets and do you think you can put given the opportunities that you think you can put that cash in your balance sheet to work?
Miles White: Let me go in reverse order, do I think I can put the cash in the balance sheet to work? Yes. The timing of when I can put at the work is kind of the question which I sort of addressed to Kristen a little bit ago. I can’t predict timing very well Mike, I can predict in ten and my intent is that I’ll put it at the work. I think we’ve always found the good balance here, we are pretty stable, reliable, predictable in terms of dividend and payout and so forth and we have been pretty solid about balance of share buyback and capital deployment but we have also been pretty good about deploying the higher return investments and so forth and I think our deal records speak for itself. So, I would say yes, the intent there, the timing is little harder to predict but I’m not [indiscernible]. Now having addressed that GMI, am I stuck with only opportunities overseas because of the structure of tax system in the world. No, I don’t think so, I’m not ruling out the U.S., I am not ruling on that at all and I think, let’s just say we’ve got great tax guides and great management of our cash flows and access to cash if we’ve through and I think we’ve got good borrowing capacity if we want to so forth. I think I’ve got enough flexibility that I don't have to stay in an external world. I think there is a lot of reasons that overseas – say economically more attractive. We all know what those are, but I think those are all sort of financial packs cash related at the same time I think there is opportunities that are attractive to us strategically for our business that aren't overseas and I don't think I can rule those out. So I don't feel constrained to being overseas. I don't feel like our ability to finance what we may be interested in, its constrained that way so while I am always looking in other geographies of the world for opportunities to expand our footprint, I would tell you I have not failed to fish in my own dock here in the U.S. and look at opportunities in the U.S.
Michael Weinstein: And Miles last question and I’ll jump in, it’s been relatively quiet over the last six months since the treasury action on U.S. corporate and voting to outside the U.S. is that something Abbott might still consider?
Miles White: I am not looking at it. Let me put it that way. The – I may not evenly think that Washington will come to its senses eventually here and make adjustments to the tax code to mix U.S. based multinationals more competitive globally with all the companies that we compete with. I mean there is a lot of script written about this and my position on its been clear. This tax code disadvantage U.S. companies and put the sale sign on them for European and other companies to buy us and arbitrage tax rates and I strenuously object to the philosophy of the U.S. government on that line because I think in no way enhances job global creation or business creation or economic recovery in the United States when you advantage everybody else to buy our companies. So I hope at some point that both parties in Washington will address that and I think so. Again, one of the log, I think the minute we did something in around in version or otherwise that Congress surely would change the tax code and I wonder why bothered so I am not – and I am not even sure I am not tax technician to tell you whether there is a path to do that anymore. I think right now the way things have been structured in a way the treasury addressed it and affecting the trend for some companies looking in version I think it’s clearly advantage that different M&A environment for non-U.S. companies for the U.S. companies I think that's absolutely clear and you would have to be blind not to see it. So I don't – it’s not on my radar screen Mike. I am looking at things more strategically and more traditionally meaning I look at the strategic fits of the business or what we can do with it and what we can expand it and so forth and I look at whether those economics working, I am not trying to subsidize our M&A analysis with tax arbitrage. Now, I think lot of other companies [ex-U.S.] are definitely subsidizing their analysis with tax arbitrage because they can but we are not and that said I don't – I am not seeing the expectations of tax inversion premium in value. I think values are high. I kind of always think they are high. I think they are high around the world for a lot of reasons, a lot of deals are getting done at expensive prices and expensive multiples they are not because of inversion or tax they are just expensive and that's driven expectations in a lot of places up, but I always think it’s expensive out there and my job is to make the best deal I can for the company, but it’s pretty hard to get a real deal in some cases unless you have got a plan for what you are going to do with the business and how it’s going to operate in your hand. So I guess to summarize all that there is – the short answer is I am not focused on inversion for the benefit of tax. Doing those things is temporarily pre-disruptive to a company and if there is a long term belief that you need to do that and some companies have done then it must fit them strategically. In our case I don't know that we need to do that and I would rather hope here that our government will fix the tax code in the next couple of years and if they do I think it’s going to dramatically enhance the competitiveness of companies like us. It’s commercial for me but that's kind of the deal.
Michael Weinstein: Thank you.
Operator: Thank you. Our next question is from David Roman from Goldman Sachs.
David Roman: Thank you. Good morning Miles, Tom and Tim. I wanted to just start with the business actually and specifically around medical devices where actually, I think the overall growth rate of that business looks to be trending a little bit better than where it has. So, I was hoping if you could just go into little bit more depth on the turn in the vascular business and then also what gives you confidence specifically on the medical uptick side that will see a churn in that franchise through the balance of 2015?
Miles White: Okay. Let me start with the vascular side. I think what we have seen occur here over the last few years in the core strength business in particular because everything kind of revolves around the strength business, is a certain amount of stability out in the marketplace, there is always price pressure. There still is. The major competitors in the market are pretty competitive and physicians that use our product they use all of us. And they kind of balance it. So I think what you have seen is the value of incremental innovation has diminished and the market has kind of stabilized, one might even suggest that’s commoditizing to a degree but it’s kind of stabilizing, so I would say there is kind of drum beat to price pressure as governments are payers or hospitals or whatever the case maybe are trying to manage their own budgets and in some ways I think it just forces [indiscernible] a lot more innovative about where our next frontiers are etcetera. And I think that in the medical device business there is a lot of opportunities for innovation and rather than look at much broader footprint of very matured products we are putting our focus on a lot of innovation at eventual levels and a smaller level where there is a lot of opportunities for growth expansion and continued improvement to health care. I am not prepared to talk a lot about that today, but I would tell you that's where I am headed with that to grow and expand that device business perhaps a little differently then what people might expect. But I like the core of what we have. I think we are going to have to manage it a little differently going forward but I think the expansion for a lot of other related areas is there. On medical optics it’s kind of two stories here, am I pleased with our performance, sometimes. We had three or four very strong quarters in a row and then the business kind of hit a wall, there is several explanations for that part of its us, part of it is our own competitiveness or responsiveness, part of its one of our main competitors kind of waking up again and responding to the share that we had taken in the cataract business. I would sort of attribute that to just the ebb and flow of competition and which is good. There is also some structural things going on there in the optics business. We are seeing some customer consolidation in the Lasik market. We are seeing lower utilization in the Lasik market. We have been seeing that for a number of years now. Cataract business for me is strong. We have got a great drumbeat here of innovation coming steadily, our R&D groups have done a fabulous job I think over the last several years and they continue to just constant product innovation and launch. So, I think there are some tactical things we got to do a lot better. I like this business it’s one I want to expand in if you got these you got to adjust internally it makes it little harder to expand, you like to add to a strong and well operating core. So, we know we’ve got some improvement to do in our performance and I would say optics means on my radar screen is one to expand because there is lot of opportunity there.
David Roman: Okay that’s helpful. And then, maybe switching gears on the nutrition side, I think in your prepared remark you said that you had entered the Chinese market in adult nutrition with ensure in retail stores there, I know that’s an opportunity that sort of in its infancy right now, but would you sort of agree with an assessment there overtime that Chinese adult opportunity can be low kind billion dollar -- $2 billion or $3 billion opportunity sort of using the Vietnam template as an example I’m just looking at kind of a demographic opportunity in China and how long would it take you to realize something like that?
Miles White: I’m breathless to your expectations, look I would tell you I’ve an ambition to put a big business. I’m not sure I’ll put it two or three in front of the billion here and I would like to get to few hundred million and kind of get some critical math and momentum. I do have an ambition for it to be a very substantial business, kind of along the line directionally headed. I’m just cautious about getting ahead of myself here on that, I’ve got a couple of businesses here at Abbott, but I’ve had those same ambitions for 10 years and there is still around half a billion dollar. So, I don’t want to perpetually be a visionary because it never comes true. I would like for it actually to happen and so in this case I would say, I believe that opportunity is there, I believe that potential is there. We got to establish the category, we got to establish the use, we got to establish the brand and I think what we’ve seen in the past is that every country we’ve done that in, it’s been pretty substantial, we create the category, we’re the category, we got to do that in China, there is an adult category in China. It’s a little different than what ensure or does, but there has been some regulatory change there that’s been favorable to us and log us to establish this category at a more rapid pace. And I think it’s attractive and I think there is a big upside here. So, you and I would at least be conceptually online, I’m just afraid to put that specificity around size because I don’t know how long it might take. And you could be right and wherever we’re when you’re right, I want you send me a note to let me know you were right because I’ll be very happy if we are. But, I think there is a lot of opportunity to get big like that.
David Roman: Okay. I guess if you feel better we never put a timeline on it so I was more of a peak opportunity –
Miles White: I think you’re going to be right, as I said, we get to a few hundred millions first, we will start and have a temporary celebration and keep moving on, I mean, this is kind of like having a kid and literally and you want him to be a cheater. Let’s just take one step at a time here.
David Roman: I look forward to that celebration. And maybe just lastly on the P&L, looking at your kind of guidance for the year on operating margin, you’ve obviously done a tremendous job of expanding profitability over the past of couple of years. But still as I kind of look at where your margins are versus your peers, it looks like there is still some room to go even after where you end up this year. Are we still sort of in a period where you think Abbott is under earning versus the peer group insurance segment with room to go on the profitability side?
Miles White: I don’t like that characterization so much, I mean, when I look at the study annual progress of really a complex multitude of initiatives nearly from top to bottom line across all these businesses, I think it’s just exactly the way to go about it and – but, to answer your question directly I definitely see more margin expansion opportunity across a number of these businesses and that’s part of our expectation as we move forward. And I think you’re already seeing it in the first quarter here and we’ve objectives in 2015 for that 100 basis points plus and there is no reason to stop there. I think each of these businesses in moving forward and it’s a huge priority for the management team here as we look at the business.
Tom Freyman: Let me add to that a couple of things that underlying one is, there is some cost side to get there – there is a lot of load hanging fruit early on that one can get okay that got that. There is other stuff it’s structural whether its supply chain related or plant related where the plant is, cost to labor, cost to inputs, cost to commodities, distribution all those sorts of things, right. The structural ones take longer and if I look at the nutrition businesses as an example where we’ve been added for four, five years, there wasn’t study drumbeat every year, but what we’re seeing the benefit of now is the bigger structural investments we had to make that took two or three years to realize even four years in some cases because of plant plan, occasion, supply chain etcetera. And we’re now starting to see the benefits of that. So sometimes you got to actually change process system etcetera to get at it. Second piece of it that affects the margins is price and we’re protecting price. This is a little bit two steps forward, one step back. Exchange keeps you racing some of the advantage of the top line and you see exchange advantages here on the bottom line to the extent that you can put pass in right places and that’s true. But for the last few years we’ve watched tremendous advantage gained in gross margin management, cost reduction, you raised by exchange and all multinationals are seeing that to some degree. So, we look at it and we say okay, we just got to have pretty aggressive targets here to improve these margins steadily. I got to treat exchange almost like a cost at this point each year or price reduction and so constantly we look at the balance of that exchange how we manage it and in effect treating it like an erosion of price because that contributes to margin so you have got multiple factors that work here and we have been very intentional about how we spread our business, spread our cost space, managed exchange, hedged exchange all of those sorts of things to protect that because honestly it hurts to gain it through cost and give it back through price erosion or exchange over year and we have affected mix the markets we choose, the products we choose and so forth, the mix and profitable segments versus some profitable segments, less profitable segments all that affects it. Some of it just takes time now to give you the bottom line answer to your question is there is still opportunity, yes there is. And it’s not just little. We keep plugging it away at pretty big chunks of opportunity here.
David Roman: Okay great. I appreciate all the detail. Thanks guys.
Operator: Our next question is from David Lewis from Morgan Stanley .
David Lewis: Good morning. Miles just coming back to the Mylan stake here your treatment here this stake has been more patient than I think some expected which and so far is working out to your advantage. I wonder what your thoughts from here?
Miles White: Just stumping.
David Lewis: That's right. Patient is perfect but I wonder what your thoughts are here and how you are balancing sort of access to capital and the potential optionality of Mylan and there seems to be this view about west community that you are spending a lot of time thinking about this stake and what you do with it. How much time you’re spending on it, is this sort of important to you and how you are balancing these different factors?
Miles White: I just love the voracious and patience of the investment community. We didn't even finish this deal till February that was two months ago and I know you can say why you could have been thinking about it all ahead of time. Yes, I know but you know until it’s done it’s not done and now it’s done, right. I would also say I don't feel constrained at all by the form of our capital whether it’s in Mylan stock or cash or anything else. The fact is it has no bearing on what we can or can't do from a strategic standpoint because if for whatever reason our capital is tied up in Mylan I would just probably borrow to or unlock it. So I don't feel like I have got any constraint at all. And I am happy to have been patience. When this deal was done you’ll recall the original value put on the sale of the EPD business was 5.3 billion and as I am watching the great theater out there that is surrounding Mylan and the team I’ve respect for the value of our position has risen because investors have valued Mylan stock so you say that's lucky and I think good luck any day, but I am happy that we have been patience because it’s clearly accruing value to us as an owner and investor of Mylan stock, I think [indiscernible] has got to an aggressive team there, he’s got aggressive plans obviously other people have aggressive interest in them and all of that has been in our favorable interest financially and it’s not inconsequential that was $5 billion value, $7 billion now and that's just more optionality for me and I am happy about that so I don't feel like I have to be in a real big hurry to do anything to resolve that stemming and one of the reasons that we only sold a third of the stock is because that's all we wanted to sell. We didn't want to sell any more than that nor would we have and I would like where our – where we are with it I think it’s been prudent to hold it, its proven to be a great value gainer for us and it’s not a constraint so there is no hurry on Mylan other than we don't intend to be long term holders but that doesn't need to be hurry if I put it into the cash I can tell you right now I can't earn this much on that because I am earning leaving it in Mylan, so until I need to sell it I think it’s in the nice place.
David Lewis: Okay, very clear at this whole -- doesn't work out I guess you can always be [indiscernible] so the other question I want to go in Tom is gross margins there has been lot of commentary on margins on the call here but specifically this is the strongest gross margin quarter I think we have seen since this has been actually going back before this spin, at least the four quarters before the spin so can you just specifically in this particular quarter any specific drivers of gross margin it does seem largely sustainable under the second quarter but what's really driving the strongest number we have seen in three years?
Tom Freyman: It’s just business mix continuing focus on cost reduction everyone focused on expanding and really it’s across the board is in the businesses. There is a probably a slight amount of this benefit that's coming through there as well but it really is – really operating focused.
David Lewis: Okay and Miles just one last quick question on and I will jump back in queue, there were two businesses you called out about a year ago as areas you are going to see more intensive management focus I think one was U.S. nutritionals and the other obviously was EPD. Between those two it does appear that there is more sustainable growth efforts sort of coming through a fruitful on the EPD side and the U.S. nutritional business but I wonder if you could update us in terms of that management intensive focus and where you see those two businesses today? Thank you.
Miles White: Well, the EPD business has been pretty transparent to all of you to watch, what we done overtime I mean there was several things going on. One we came to conclusion that we wanted to focus on emerging market not develop markets and that part clearly with strategically better fit within Mylan in a much larger business focused in those developed markets and so we did that. Now you will note we also acquired wonderful company CFR Pharmaceuticals in Latin America which gave us a very strong position in Latin America and enhance the one we already had and we made a fairly significant move in Russia that got done during the core of the whole Ukraine issue which was a different hit, again [Murphy’s] laws if you believe it can go along -- everything kind of aligned badly and we still got that deal done unfortunately we did it Ruble so it didn't hurt us when the Ruble collapse. So that was really good strategically and I think that what we have got now in our EPD business which was done fairly transactionally as a complete redirection of that business refocus, re-emphasis where I think the biggest opportunities from our standpoint are for what we are focused on and interested in and so that's been good. That repositioning has been good. It’s been very intentional. It took us about 18 months to get it done frankly I think that was faster than we might have expected, the things aligned very well for us. And so, I look at the underlying growth rates of the countries that we are focused in EPD. They are strong. I look at our own performance, its improving, could it be better, sure it could. But right now it’s double-digit and above its market rates in its countries and I think that's all good. So I like the positioning of that and that's the core that I can add to. On the nutrition side, we have gone through quite a bit of change too. There has been some management change in the businesses. I like the management team. We have in place right now a lot in terms of its capabilities, it’s just getting its feet under it most of our leaders there have been in place for better part of six to nine months if there has been a change that's good. Some of that's organic some of it’s from outside. We have made some changes in how we are investing in the business and frankly how we are marketing all of that has been a strong improvement. I think the pediatric business is well positioned. We will see a fair amount of improvements in our marketing coming forward here, new product launches and other things that I am pretty excited about but I think will be good for that business. So, I have actually got a pretty strong comfortable feeling about the U.S. I think our adult nutrition business is weak or weak relative to what I would expect of it. It’s a strong business we are large in the category as you know and I think there is some things that we are working through there. We have got a good team there and it takes a while to see the results of the changes in marketing that we put in place and the changes in products and etcetera. so I think we just got to be I hate to say the word for you guys a little patient to wait for the results to show, but the actions that we have taken which were pretty deliberate are in place. I can remember years ago in Chicago did once that folks are saying all the pieces are in place we are going to super bowl on that and I don’t think we were in 500 that year I think the pieces are in place. The right management in place and I am pretty pleased with where we are with that business. You don't see it as much from your perspective because it wasn't so transactional like divesting or acquiring from the company’s word in EPD, but I think, I need the nutrition business is now well positioned. When I look at the international part of it, we withered a number of events whether its recalls or other things in that business and call out one example I would say the team in China has done a wonderful job regaining loss market, loss share loss position from that recall couple of years ago that business is going well. The pediatric business I am speaking of now and the share somewhere between 8.5% - 9% whatever the way we measure it and trending well, those rates are trending well are positioned in a number of other companies in other countries are improving well. So I like the underlying fundamentals of what I am seeing out of our nutrition business and I would like to say a couple of quarters of evidence of good momentum here and I think you will see it.
David Lewis: Okay. Great. Thank you very much.
Tom Freyman: Okay we will take one last question from the queue please.
Operator: Thank you. Our final question for today is from Bob Hopkins from Bank of America.
Bob Hopkins: Hi, thanks for taking the question. Just two quick strategy questions, one on devices and one on EPD. First Miles it sounds like from your comments that the strategy in traditional devices is going to be a little more focused on smaller innovation based deals and I was wondering is that the right way to look at it because I assume your comments in line to be a lot bigger don't really apply to traditional non-consumer facing MedTech?
Miles White: Let me clarify it. I wouldn't say exclusively and so I wouldn't want you to think you are only going to see little out of me because that's probably not accurate but I think that you can't just assemble large and mature either. You got to have a foundation and a presence and a core but the future of any core or foundational business in devices almost always depends on innovation replacement cannibalizing yourself with future innovation etcetera. So there is got to be a balance there. And I think we are at a point where we got this very strong core but probably not enough of the innovation that comes from the smaller kinds of companies etcetera and you can’t do everything in our own R&D in that particular business. You can't diagnostic you can't in devices so I would say you might see both. You might see that I can tell you intentionally you are going to see we are going to be investing in smaller opportunities that could get a lot bigger because we want to build the breadth of that business but you are right. We may well have to pay attention to the foundational base as well. So we wouldn’t rule that out, but I don't want to give you the impression that I am just looking at couple of big add-ons or something there because I am not. Does that make sense?
Bob Hopkins: It does. It does yes and will follow up a little bit more offline because I wanted to ask one other one just about EPD because you have done a couple of deals lately I am just curious are there others out there in EPD from an M&A perspective or is this an area where you have kind of found what's available acquired them I am just curious how hard it is to find assets in EPDs since it looks like that's an attractive business long term?
Miles White: It is not hard at all to find asset. That part is easy and it’s not hard to find really good assets. That part is easy and it’s not hard to find assets with good management, good fit, good products, good geographic location. That part actually easy and I think our people and our team and some of our contacts and stuff, I think we’ve a unique advantage there geographically and internationally on that particular dimension, I can think of one or other companies that historically I’ve thought. We’re thinking about it the same way because we keep bumping into them everywhere we go when we’re out hunting, fishing whatever you want to call at looking opportunities, we keep burning into the same one or two companies out there doing the same thing so I know that they think a little bit like we do. But I would tell you that part is easy, well hard part is getting beyond the recognition of it and getting to something where either somebody is interested in a transaction or it’s the value that doesn’t make [indiscernible] and that’s sometimes a challenge. A lot of the things that we would be interested in and some of the international markets are family sponsored, family owned or privately owned etcetera and sometimes it’s just more it’s just more complicated. It’s not easily transacted, it takes well what I call lot of relational time getting to know each other and getting to become familiar and comfortable to get somewhere with the deal. I would say that CFR transaction this is the fabulous company. It was a family company even though it was public. It had a 90 year history. It was emotional thing for them to sell the company and the company is super high quality, the management is high quality. I couldn't be more pleased and it’s a great home if you are habit for it. It’s a great performer that deal took a while to develop comfort and relations and so forth and that's how a lot of them are that's how lot of them are, [Indiscernible] was the same way and I think it just takes time so if you ask me do I think there is opportunities out there, there is a lot of opportunities but they’re not fast.
Bob Hopkins: Terrific I appreciate the comments, thanks so much.
Brian Yoor: Okay, thank you operator and thank you everyone for all your questions. That concludes Abbott’s conference call. A replay of this call will be available after 11 a.m. Central Time today on Abbott's Investor Relations website at www.abbotinvestor.com and after 11 a.m. Central Time via telephone at 402-998-1629, the passcode 1674. The audio replay will be available until 4 p.m. Central Time on Wednesday, May 6th. Thank you for joining us today.
Operator: Thank you. And this does conclude today's conference. You may disconnect at this time.